Operator: Good morning, and good evening. Thank you all for joining this conference call. And now we will begin the conference of the fourth quarter of fiscal year 2024 earnings results by KT. We would like to have welcoming remarks from KT IRO, and then CFO will present earnings results and take your questions. [Operator Instructions] Now, we would like to turn the conference over to KT IRO.
Young-Kyun Yoon: Good afternoon. I'm KT's IRO, Young-Kyun Yoon. We will begin KT's 2024 full-year earnings presentation. This earnings release call is being webcast live on the company's website, so you can listen in on the call and follow the presentation slides as we go along. Let me remind you that today's presentation includes financial estimates and operating results under the K-IFRS standards that are yet to be reviewed by an outside auditor. We, therefore, cannot ensure accuracy, nor completeness of financial and business data, aside from the historical actuals. So, please note that these figures may be subject to change in the future. With that, I invite the company's CFO, Jang Min, to run through our annual results of FY 2024.
Jang Min: Good afternoon. I'm CFO of KT, Jang Min. In 2024, under the goal of AICT transformation, KT pushed forward with innovating its workforce and business structure. And through our partnership with Microsoft and by cultivating our IT professionals, we strive to build up a driving force behind the future growth. On the back of balanced growth between B2C and B2B and good performances from data center, cloud and other core businesses, consolidated revenue reported KRW 26,431.2 billion, which is a historical record since the company went public in 1998. Also, we entered into a strategic partnership with Microsoft to effect a complete transformation as AICT company, focusing on structural profitability improvements such as innovating the workforce structure and rationalizing underperforming businesses. Following workforce innovation in Q4, operating profit fell 50.9% year-on-year, coming in at KRW 809.5 billion. But if one-off impact is removed, OP stands at KRW 1,811.8 billion, increasing 9.8% year-on-year, showing stronger fundamentals. Also in terms of corporate value, last November, we put in place mid- to longer-term corporate value enhancement goal, presenting a progressive action plan. We will speed up structural innovation to transition to AICT company in 2025. And by actively implementing the plan on corporate value enhancement, we intend to yield results from core growth businesses, including AICT, cloud and elevate shareholder return. And so we've set consolidated revenue target for the year at above KRW 28 trillion. Also under the strategic partnership with Microsoft, we will commence with the launch of products that are distinct to KT in the first half of the year, such as AI models specialized for Korea and secure public cloud, et cetera, to place full force behind sales and order wins to build a basis for B2B AX business growth. Fixed and wireless business and the media business will continue its growth by delivering differentiated customer experience underpinned by AX technology. While through technology innovation and scale-up of IT, we plan to optimize system for business operations and management. As an AICT company, KT is endeavoring on making improvements in growth and profitability and translate them into enhancing shareholder value. Through the revision of articles of incorporation in 2024, we adopted quarterly dividend as part of our shareholder-friendly management policy, with KRW 150 billion of cumulative dividend paid out up to Q3. DPS for Q4 '24 is KRW 500 per share and dividend record date is February 28. On the back of effort on structural profit improvements, we increased annual DPS from KRW 1,961 back in 2023 to KRW 2,001 in FY '24. Q4 dividend will be paid out after the approval from March General Meeting of Shareholders. Under the corporate value enhancement plan, as part of the KRW 1 trillion share buyback and cancellation plan we have for until 2028, we plan on KRW 250 billion buyback and cancellation this year. KT will continue to drive fundamental innovation as an AICT company to ensure sustainable growth and corporate value enhancement. I will now move on to 2024 annual earnings. Operating revenue was up 0.2% year-on-year to KRW 26,431.2 billion, while operating profit declined 50.9% year-on-year, coming in at KRW 89.5 billion on the back of one-off labor costs following structural enhancement of the workforce. Following the decrease in operating profit, net profit fell 54.5% year-on-year to KRW 450.1 billion, and EBITDA was down 14.2% year-on-year to KRW 4,687.2 billion. Next is on operating expense. On the back of workforce revamping, which led to an increase in one-off labor cost and on higher depreciation, operating expense was up 3.6% year-on-year, reporting KRW 25,621.7 billion. Next is on the financial position of the company. Debt-to-equity ratio as end of December '24 was 12.3%, and net debt-to-equity ratio dipped 1.9 percentage points year-over-year, reporting 37.7%. Next is on CapEx. KT Group's total CapEx spend in 2024 was KRW 3,123.4 billion. KT, on a separate basis, its cumulative annual CapEx was KRW 2,299.9 billion, and CapEx from key growth businesses of finance, media, DX, real estate reported KRW 823.5 billion. Next is on the performance of each of our business segments. Wireless revenue was up 1.3% year-on-year, reporting KRW 6,959.9 billion. With the launch of many different rate plans offering greater choice to customers, 5G subscriber count exceeded 10.4 million subscribers, accounting for 77.8% of total handset subscriber base. We are also seeing solid growth continuing from roaming and MVNO business. Next is on the fixed line business. On the back of growth in GiGA Internet subscribers, Internet revenue was up 1.1% year-on-year, reporting KRW 2,486.9 billion. Media business saw 1.2% year-on-year growth on IPTV subscriber expansion, mainly around high ARPU plans and higher-quality set-top boxes. The new media division set up end of 2024 is going to be a pivot for all of our group's media business-related competencies, and we plan to push forward with media business innovation driven by AX. Home fixed line telephony revenue was down 7.3% year-on-year to KRW 699.4 billion. Next, on B2B services. Despite rationalization of unprofitable businesses driven by solid growth of enterprise Internet and data business and growing demand for AX services, B2B revenue posted 2.9% year-over-year growth. It's worth noting that AI/IT business revenue increasing 11.9% year-on-year, following AICC expansion and Thailand's LLM project. In 2025, we will continue to streamline businesses yielding low performance while driving volume and quality growth through having a core focus on strategic customers and product launches based on the partnership with Microsoft. Next, moving on to the results of our major subsidiaries. On the back of decline in acquiring volume, BC Card revenue was down 5.4% year-on-year to KRW 3,805.8 billion. And operating profit, however, posted sizable year-over-year increase driven by private label cards, financial business expansion as well as profitability enhancement efforts. Despite growth from Internet resale and MVNO business growth due to pay TV subscriber declines, KT Skylife revenue was down 1.5% year-on-year, coming in at KRW 1,022.9 billion. Impacted by contracting market, content subsidiary saw its revenue fall by 13.6% year-on-year. But despite the industry depression, crash, Your Honor, To My Harry were box office successes, attesting to future potential for growth. Supported by growing data center usage by global customers and an increase in traffic for cloud-based CDN, KT Cloud posted 15.5% year-over-year growth. KT Estate posted 1.7% year-over-year increase, reporting KRW 604.9 billion on the back of rental revenue growth from office and hotel. This was an update on KT's 2024 annual performance. KT will continue to drive structural transformation as an AICT company. And through successful implementation of corporate value enhancement, we'll make sure we take the leap towards driving KT's corporate value a notch higher. We, hence, look forward to your ongoing support and interest from all of our investors and analysts. Thank you.
Young-Kyun Yoon: For more details, please refer to the presentation deck, which we previously circulated. We would now like to begin the Q&A. [Operator Instructions]
Operator: [Operator Instructions] The first question will be provided by Shin Eun Jung from DB Financial and Investment.
Shin Eun Jung: I have a couple of questions. First one relates to your 2025 outlook. If you could guide us on what your forecast is in terms of revenue, profit and shareholder return, that would be helpful. And I would also like to understand as to when we will be able to see either revenue and profit come through from your real estate development located in the north of the river site.
Jang Min: Responding to your second question first, with regarding the real estate development-related profit, you're asking the timing under which we will be recognizing that profit. With respect to the apartment that's been built on site, we will start to book the revenues from that business. People will start to move into that apartment starting March, and we will be recognizing and booking the profit across Q1 and Q2. And also regarding the guidance for revenue, operating profit and shareholder return, I've mentioned in my presentation, the revenue guidance is on a consolidated basis above KRW 28 trillion. In terms of the profit guidance, you would understand that we won't be able to share with you any specific figure per se. But if you look at the size of the profit for 2024 and the effect that we will get from structural improvements that we've undertaken and also based on the expansion of the revenue that comes from AICT business and initiative, I think you can make an appropriate estimation. As part of managing our bottom line, we are planning to make sure that all the workforce-related improvements that we've made over the past year will really materialize into profit for us this year. And also, we're going through a rationalization process for unprofitable or underperforming business. So, we continuously endeavor to bring improvements on the structural profitability of the company. So responding to the question on shareholder return, once we are able to materialize the impact from profit improvement, that will give us some room in terms of resources that we need in order to provide a shareholder return. So in terms of the method of that shareholder return, the mix between actual cash payout versus share buyback and cancellation, the specifics will be decided based on -- from the upcoming BOD meeting, but we will make sure that we maintain the minimum level of return that the market is expecting and we'll make a decision in line with that expectation.
Operator: The following question will be presented by Kim Joonsop from KB Securities.
Kim Joonsop: I'm Kim from KB Securities. My questions relate to your AX business and the partnership that you have with Microsoft. First on AX business, I understand from press articles that KT will focus on providing business process innovation solutions to your customers and clients. And I understand that this is a domain where there are not many number of competitors. So, I would like to understand the unique point that KT has in terms of its AX business strategy, your road map and what your top line revenue projection is from this business? Second question relates to your cooperation and partnership with Microsoft. You talked about a more Korea specialized AI model, and you also talked about SPC, secure public cloud. For this year, where would your focus be and what is the milestone like? And also what do you project to be the financial impact from these initiatives?
Jang Min: Thank you for that question. When we say AICT transformation, basically, the overarching approach to AX strategy for KT is, first off, focusing on B2B customers, and that is through our IT business. And also there is B2C domain, which is the core fundamental of KT's business. So that is the CT, the communication technology business. And the third prong is our media business. So, our strategy is to enable transformation that is driven by AI capabilities. So, I take it that you must have read some press articles that dealt with the AX, the B2B business side of our endeavors. And basically, all of the B2B IT businesses that KT is providing, these are areas that cannot develop or where we cannot generate performance without the element of AI piece in it. So it is all AI-powered or AI-enabled. So as such, based on such AX strategy, we will be providing new service offerings to our B2B customers. So, AI and IT piece combined in 2024, their financial impact was KRW 1 trillion. And in 2025, basically, we will be -- our objective is to have a double-digit growth. Moving on to the other question on Microsoft. So, I will divide this answer into 3 pieces. One on service. Second on the customer. And third, on our internal organization capacity. So first, on the service offering side, basically, our plan is to launch a Korea specialized secure public cloud within the Q1 of this year so that we can provide that to our B2B customers and very quickly carry on with proof of concept so that we could actually secure reference point and have the basis for us to be established in the market early on. And second service is, basically, this is an AI model that is trained on data that is specific to Korea. It will be a model that is based on GPT-4. So, our objective is to release this model within the second quarter of this year. And right now, the model is undergoing training on Korean history, politics and the legal aspect as well. Now second, in terms of the customer breakdown, what we are doing, and we have actually selected about 3 strategic key customers together with Microsoft, and we are currently in the proposal stage. Basically, these 30 or so strategic customers will be the first batch of clients that we will focus on in delivering the services that we are developing. The third aspect is our internal organizational capabilities in order to address the needs of our customers from a more professional perspective. We've been able to really strengthen the consulting capabilities of our existing consulting organization. And we've also set up AX specialized organization, and we've been cultivating and beefing up talent within that group so that we can better meet the requirements of our customers in regards to AX.
Operator: The following question will be presented by Kim Hoi Jae from Daishin Securities.
Kim Hoi Jae: I'm Hoi Jae Kim. I'm covering telecommunication services at Daishin Securities. I would like to first ask about your CapEx. I would like to know the current CapEx level has been coming down. I would like to know the future forecast for CapEx. And when will be the timing for us to see another increase in CapEx due to additional investment in 5G or maybe 6G network? And also, you've mentioned that you're currently training your AI models. Does that entail significant amount of investment? Second question is that you've announced your shareholder return or value enhancement related plan back in November of 2024, and you've listed many objectives in improving and enhancing shareholder return, increasing ROE. I would like to understand as to what are the specific plans that will drive that or make that possible. And also another question is on your share buyback. You've disclosed that you will be buying back and making cancellation of KRW 250 billion of treasury shares. Up until 2028, your objective is to do share buyback and cancellation in the amount of KRW 1 trillion. So, does that mean that from 2025 up to '28, you will be making KRW 250 billion every single year? I just want to check whether that understanding is correct.
Jang Min: Now first, responding to the question on CapEx and depreciation. CapEx for KT and all of its subsidiaries, basically, our plan is to maintain it at 2024 levels. So on a standalone basis, although investment into B2C is going to go down because of AICT business growth and further scaling up of IT, we think that the level is going to be flat year-over-year basis. Now, regarding the next question on CapEx for 5G and 6G cycle. For 5G investment, depreciation period has ended. And for 6G investment, I think there is not big of a probability for an investment into 6G in 2 to 3 years' time. I say that because the technical standard is going to be standardized in 2028 or '29 and then investment will follow. So, this is quite far out into the future. You also talked about a possibility of an additional spectrum allocation for 5G network. At this point, in terms of the necessity of having that additional spectrum, that's not very, I guess, substantive. And also the government at this point does not have a clear government policy on spectrum allocation. So, we do not consider that as one-off risk factors for CapEx investment. And moving on to your question about the implementation of the value-up plan that we disclosed in November. At that time, we also shared specific 4 action plans. And over the course of this year, we will faithfully carry on with those action plans. And also just to elaborate, these are nothing new, but in order to make sure that we implement the value-up plan as was communicated, we are mindful of 2 aspects. One is how we can drive an improvement in bottom line, the profit so that we may facilitate and take an appropriate form of shareholder return. And the specifics, we will, of course, decide as we go through the Q1 dividend approval through the BOD. And yes, we did make the disclosure that we will be canceling KRW 250 billion of treasury shares. But because our foreign ownership limit has been fully reached at above 40% level, we will make appropriate market communications, and we will come up with ways to maintain the corporate value because there are some technicalities that we need to be mindful of. So in light of all of that, we will make the appropriate decision. And that KRW 250 billion that we've disclosed and you asked whether out of that KRW 1 trillion over the course of 4 years, will there be same amount that will be canceled or bought back every single year. Of course, we -- there -- it's pending BOD approval, but I can say at this point that there is quite a bit of possibility that, that may be the case. But of course, it will depend on the growth and the size of the profit that we are able to generate. But I'm sure -- I believe that we do have an upside.
Operator: The following question will be presented by Kim Hong-sik from Hana Securities.
Kim Hong-sik: I have two questions I would like to ask. On the back of reorganization that the company undertook, there was an impact on cost savings. I would like to understand, you could basically give me a labor cost figure or also the overall expense or cost impact since you were able to reduce the headcount, both on headquarter basis as well as consolidated basis. I would like to get some color as to what the impact on the cost savings were? And second question is that usually, if we look at past practices at the HQ level, the parent company level, the KT has paid back or did shareholder return, taking about half of the profit that was generated. And recently, there's a saying -- people are saying that the dividend inflow that you get from the subsidiaries will also be used as resources for shareholder return. So, I would like to understand as to what the logic behind this thinking is? If you could clarify that, that would be quite helpful because the dividend inflow with regards to the subsidiaries may fluctuate and does fluctuate. So if you could provide a bit more color, that will help us making our forecast easier.
Jang Min: In regards to the cost impact, the cost-saving impact from the organization-related revamping, it's difficult to give you a specific figure per se, but there were 4,400 people who left the retirees. So, that will be the basis upon which we could build our estimation. So, out of that 4,400 headcount that was the headcount reduction, 2,700 people completely left. There was a complete retirement and 1,700 people transferred to the subsidiary that we set up. So, that 1,700 people that moved to the subsidiary, they will be receiving 70% of their previous wage level and the difference had been settled all at once. So, I believe that these elements could help you make that calculation in terms of the labor cost savings as well as the expense that is attached to these headcounts that move to the subsidiary. And the second question, we lost your connection in the middle. So, I don't know if my understanding of your question is completely correct. But I take it to be the adjusted net profit on a separate basis and the logic behind dividend. So the dividend income that we get from our subsidiaries, it will come under our net profit. And yes, it does qualify for -- qualify as resources that could be used for dividend payout to our shareholders. And in terms of the adjusted net profit, the elements that actually is going to be adjusted are, for instance, the non-cash invested securities valuation gain or valuation loss. So basically, these elements work to offset or smooth out volatilities and fluctuations in profit. So based on our calculation, if you look at the size of the adjustment that was reflected for 2024 numbers, it was plus KRW 120 billion. I hope this answered your question. Did it?
Operator: Currently, there are no participants with questions. [Operator Instructions]
Young-Kyun Yoon: With no more questions in the queue, we would like to now close the Q&A session. Thank you, everyone, for your questions and your interest, and thank you once again for joining us despite your busy schedules. This brings us to the end of FY 2024 earnings release. Thank you.